Operator: Good day, ladies and gentlemen, and welcome to the Orion Energy’s First Quarter 2013 Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would like to now introduce your host for today’s Mr. Scott Jensen. Mr. Jensen you may begin. 
Scott Jensen: Thank you, operator. Good afternoon, everyone, and thank you for joining us today for the Orion Energy Systems first quarter fiscal 2013 conference call. First up, let me apologize. It’s our understanding that our earnings release has not hit the wire yet and we’re working frantically behind the scenes here to make sure that that happens as efficiently as possible. So I apologize. We’ll try to provide a little more clarity on our earnings release for the first quarter. And again, we apologize for the delay in the earnings release being available to you. Once again, my name is Scott Jensen, Chief Financial Officer of Orion Energy. With me on the call today is Neal Verfuerth, our Chief Executive Officer.
 As a reminder, the earnings press release issued today once again includes a section that briefly discusses the supplemental information document posted to our website. This supplemental information document provides additional details and analysis on Orion’s financial performance for the first quarter of fiscal year 2013. I will now read the Safe Harbor statement. Our remarks that follow including answers to your questions include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995.
 These forward-looking statements are generally identified as such because the context of such statements will include words such as believe, anticipate, expect, or words of similar import. Similarly, statements that describe future plans, objectives, or goals are also forward-looking statements. These forward-looking statements are subject to risks that could cause actual results to be materially different. Those risks include among others, matters that we have described in our press release issued this afternoon and in our filings with the Securities and Exchange Commission. Except as described in these filings, we disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly conference call if at all.
 Now I’d like to turn the call over to Neal Verfuerth, Chief Executive Officer of Orion Energy Systems. Neal? 
Neal Verfuerth: Thanks, Scott. As Scott had alluded to -- first of all, good afternoon everybody, thanks for taking the time to listen on our call today. As Scott had alluded to due to a technical snafu, our release has not hit the wire yet. So I’m just going to read what my statement was, it really sits quite nicely with this call.
 Given our recent release of the InteLite integrated system, which addresses the market for both LED and fluorescent full-range dimming technologies, the quarter we’re reporting is consistent with our expectations for our year-to-date progress. Our value proposition continues to be validated by customer adoption. Furthermore, the higher average selling price of this product presents numerous growth opportunities well into our future.
 So with that, I just want to talk a little bit about technology. I’ve been in the business now 30 years and I probably have seen more advances in technology in the last 18 months than and I have the previous 28.5 years. The technology on a general basis in lighting has really been evolutionary at best, since Thomas Edison first invented the first electric light source, incandescent light bulb.
 In 120 years, there hasn’t been really a whole lot of change again, mostly evolutionary with the incandescent bulb still being a cornerstone of the lighting solution for many commercial buildings and most of the residential customers in America today. Only recently, has the technology really become revolutionary with the introduction of the LED technology.
 I read recently -- it kind of really thought provoking that, with the LEDs, it’s only the fourth lighting technology in the history of mankind, starting back to fire, so it’s really quite profound. With that, there are challenges and opportunities. Starting with Don’t Be MisLED, which is a campaign that we actually put out some time ago to talk with our customers, because of all the hype that surrounds the LED technology. When we say Don’t Be MisLED, we have seen a lot of companies out there making a lot of representations essentially, kind of applied physics and making promises that relates to performance and longevity that they’re just not going to be able to keep.
 So when you’re looking at launching such a revolutionary technology, it’s really important that the promises we make are going to be kept. And a big advantage for Orion as we go to the market with this next generation, if you will of technology is the fact that we have a very substantial existing installed base. We have 8,000 facilities -- 8,000 plus facilities where people know us, and we’ve saved them in aggregate of over $1 billion. So for us to go there with the next thing is a much easier sell than customer -- excuse me, competitors that are out there trying to bring a new technology to the market, and trying to acquire a new customer relationship at the same time.
 Another challenge and opportunity as we see that the expectations of the next best thing out there with these new advances in the last 18 months or so. Customers are saying to us and users, what’s the next big thing? Well, we here at Orion, we can say we have it. We have the Apollo Solar Light Pipe. We have the InteLite platform, and we have a technology pathway well-defined into the future to take customers of the next level of savings, not only in lighting, but in HVAC, simple control strategies, demand response, measurement verification, metering, process control, et cetera. We have a technology pathway that’s well-established and we're already talking to customers about where we will be not just today, but also well into the future, the next 2 to 3 even 5 years out with the InteLite platform.
 And we of course, have a pretty substantial renewable portfolio. We have really a core competency as a company we’ve developed in installing renewable technologies, putting our customers in the position that we can make them super energy-efficient and, if they should choose to do so, go all the way to the point of being off the electric grid for several hours a day actually generating power at their place of business.
 So again what is a challenge to some is an opportunity for Orion. CapEx constraints, still the challenge even in times, as we are seeing today certainly better economically than they were 18 months ago, but nonetheless there are still CapEx challenges. So we have customers that are sitting on the fence deciding where to prioritize these CapEx expenditures, so they put them into production or new tooling and fixturing or into cost savings initiatives. And as you might expect many times, when the economy is picking up as it is, they're looking at putting the dollars into their core business.
 So we’re developing additional innovative financing solutions most recently the megawatt supply contract allowing our customer to put the technology in -- the Orion technology, without technology or financial risk. As we continue to perfect that, we see our business more and more moving towards financing allowing customers to keep their capital, their CapEx dollars and put them into their core competency. And this is the program that we’ve been working on for some time, so we’ve already got a good track record of 400 plus facilities using our financing tools and we see that expanding in the future, as we get smarter and better at deploying these new financial tools.
 The technology and learning curve there is an awful lot that has to take place inside the organization here on Orion from a manufacturing standpoint, and sales, and project management, and tech services, and everything it takes to support this next generation of technology. We’ve made investments as we've been talking about on previous calls into our Orion University and all of our training tools and facilities, and we see that as, just another barrier to entry and away to build up our position and a real sustainable differentiation between us and many of our competitors out there that have not made these investments. So again, it’s a lot more complicated than business with the digital lighting and controls, but it’s going to keep a lot of the people that are in the fluorescent space today out of the business, because the level of complexity that’s surrounds this new technology, not only understanding how to build it, but how integrate it, how the support and service it and sell it in the customers facility.
 Thermal and optical optimization that’s been a core competency of Orion’s going back many years and that doesn’t change, regardless of what the technology is. We’re talking the basic physics of optimizing optical and thermal performance. So, what we’ve learned over the years in our fluorescent offerings, and the Apollo Light Pipe, even on their InteLite controls as relates to managing thermal and optical in most of our products also comes into play allowing us to produce a world class LED product.
 Contrary to what many people think, we’ve had our toe in the water for sometime actually several years as relates to LED. We’ve done in excess of 3 million square feet retrofit for many of our food customers, Sysco, US Food and others. What you see here if you’re online is a photograph of a chart that we have done in the Arkansas for one of our national accounts replacing existing for fluorescents with the new-generation LED with the controls.
 So 3 million plus square feet is more than what a lot of our competitors that are running around are talking with people of what they’ve done. We actually have hard evidence and have continued to refine our product line to beyond freezers, and to the normal ambient operating temperatures with an I-Frame configuration similar to the platform we now use for fluorescent.
 I’m starting to categorize the building -- the business from -- as it relates to our go-to-market strategies and the way we’re looking at training and communicating and messaging to our customers, essentially if you have the existing lighting value proposition, which if you look at the far left starts with still today many customers are out there that have existing HIDs using 465 watts with the $400 operating cost. We have pretty good penetration here at Orion and with our competitors replacing the traditional HID legacy products where they fluorescent fixed or whether it’s a T8 or T5 based technology generally using 220 watts or so, cutting their operating costs from $400 down to $196.
 Several years ago, as we started to refine our optical and thermal performance, we are able to get the same light levels that customers were desiring with their legacy products for less wattage than what the competition was getting. We're down to 145 watts. And that's just factoring in superior fixture performance and design.
 So we're taking everything we've learned over the last several years and looking into the future, this is how we're going to build out our business and deliver the top line dollars that we talked about at the last call in the next 5 years.
 It starts with technology. We're not going to stop where we are today, we continue to file patterns and have had additional patents submitted and approved and we have as I alluded to earlier an expanded InteLite platform in mind and well into the development cycle be able to continue to build upon the system and the savings that we've offered our customers several years ago, and well into the future. Everything we've done in InteLite is forward-compatible and reverse-compatible from a technology standpoint so that our customers won't be stranded out there with some obsolete technology for Orion.
 We’re also looking at on an ongoing basis, both Scott and myself and some of our engineering folks,  complimentary bolt-on technologies or companies that might complement what we're doing here and further offer our -- enhance our value proposition to our customers, something in the energy space.
 We continue to talk about feet on the street. We've expanded and continue to expand our partner network and put more feet on the street. At this point in time, we’re about 2x feet on the street as it relates to sheer head count as what we were about a year ago. And we’re looking at different niche market specialists, that can bring us into various markets that we hadn't even thought about, that would be categorized in more of the traditional space. And to a very little niche markets that we can tweak a product or maybe come up with a different brand, name, and find a very different channel to market and  we’re going to pursue that business.
 Our systemized sales process, something that we’ve talked about and continued to refine since the company’s inception. We’ve actually gone as far as we put into the sales operations center and that takes more of an active role even working with our partners and helping them establish starting with recon established appointments. We do the recon. We do scheduling, calendar management, and actually help drive the sales process from our sales operation center and provide management reports for our partners for the principals for them to help drive their sales people they have in market on local basis. Almost becoming their add-on sales manager and report writer giving the day-to-day need to drive the sales process. This is all in our desire to increase our sales pipeline, not just quantity, but quality.
 So I’ll talk a little further out in my discussion today about the quality in what we’re doing to enhance what we called our technology demonstration comparing our technology versus our competitors’ technology, one of our technologies versus another et cetera but giving customers the real hard data they need to make buying decision and to make sure that the CapEx requests that are showing up in their organizations are approved with Orion because it’s an absolute slam dunk when they see the savings and we can actually show them metered savings before and after. So, they don’t have to worry about that risk of not having the project deliver as promised.
 Execution of compliance as part of our sales and operation center, we’re actually enhancing our compliance to make sure that in our testing, to make sure that people are actually following our process and our pricing strategies have been now tailored more towards compliance and making sure people are following the process as it’s been laid out, as it’s been proven to be highly accurate, but the high closing ratio and using pricing strategies to drive that behavior as opposed to more traditional thinking and looking at just sheer volumes and transactional issues. Getting people to follow the process, we know if you follow the process with right activities, you’ll get the result at the other end.
 The integrated system as we call it, it starts with InteLite controls making the light not just smart, but intelligent. And we can apply this technology to both the full range dimming on the fluorescent side of the business as well as the LED. It really comes down to what is the best product for the application that we’re looking at with the end user.
 As you can see here, the value proposition on the left is the high intensity fluorescent, the HIF, 148 watts when it’s on full brightness, the control strategy by using what we call the adoptive dimming allows us to discern between motion underneath the fixture that is actually transient -- people are just passing through or they’re actually working underneath the fixture and we control the fixture accordingly. We believe the future for controlling buildings is to never turn the light totally off from a safety and creature comfort standpoint. As an alternative to that, adjust the light and the power based on what the actual activity is underneath the fixture itself. Activity based motion that makes the lite intelligent.
 So as you can see the scenario here, whether it’s the fluorescent or the LED based on all the case studies we’ve done and the documentation in several facilities for our customers, we’re seeing the fixture 90% of the time is at low and only 10% of the time is at high. Meaning that 90% of the time the actual traffic underneath that given fixture is its transient traffic, people are passing through, not actually working underneath, which allows us to get a more aggressive and then control the fixture accordingly making the fixture perform at its optimum level. The longevity is ensured and we’re also adding another dimension in creature comfort and safety, because we don’t have large tracks of the building going dark.
 What’s interesting here is, you’ll see the operating cost you have to extrapolate of these numbers, is very similar within pennies whether it’s LED or fluorescent. So the void here being, we're not counting fluorescent yet, we still believe it’s very viable and in certain applications is going to make sense although there are times may be the LED or even a customer preference may be driving that. But nonetheless we have our solution that will deliver the savings and the lowest operating cost very cost effectively and accommodate a customer's desire to be in either technology and get the best possible lighting job for the applications in their building.
 As we compete in the market, and we bring in this technology, the integrated system out, we’re looking at not only the obvious, which is replacing existing HIDs, but part of the consideration for us is, what about all the customers already that have converted to HIF whether they are Orion customers or a competitive fixture. You can see here from left to right the illustration in the far left would be a traditional high density fluorescent cutting the wattage down to 220 or so watts less than $200 operating cost and you can see how the integrated system would compare at $30 and change operating cost versus a $200 operating cost.
 Intentionally I didn’t even put an occupancy sensor on the traditional high density fluorescent because what we are seeing in the field is a lot of these jobs that have been installed over the last several years, the occupancy sensors aren’t actually turning the fixture on and off as much as people think because of the time out that is embedded into the device itself. So if you could imagine a forklift going down an aisle in a big warehouse and they drive down they drop off a pallet, they drive back. Every time they pass through the field of view of that particular sensor, with the old technology it actually resets itself back to full high for another 30 minutes.
 So we are finding a lot of these big facilities the savings that they realized to be are really as a result of taking the old HID and going to a newer fluorescent not so much from a controlled standpoint. So the InteLite system with the intelligent lighting were going to pick up an additional savings there by making the light intelligent and I can even see expanding that into getting more specific as it relates to on-peak versus off-peak savings, maximizing rebates et cetera and allowing us to extract more value, more rebate dollars, demand side management dollars or demand response dollars in the future using the InteLite system.
 So we have all the right technology, all the right pieces now, as we talked about the last call, we are looking at the future. We are investing in our pipeline. Our gross pipeline to date is well in excess of $300 million. The gestation period, which is what we categorize the time we initially meet the customer who are actually seeing appeal coming out of the other end is approximately 400 days and the closing ratio is still in that 30% to 35% ratio -- on the higher side if you actually follow our sales process. So, my constant focus here at Orion is looking at ways to expand the pipeline to get more pipeline out there. Compress that gestation period with tools like financing and additional more rigorous M&V, measurement and verification and validating the savings and what can we do to get our people better trained, additional tools et cetera to increase that closing ratio.
 But these are the inputs that we are using now to look at our business into the future and determine based on these investments and these activities on the front-end, establishing a relationship, the site assessment, field verification, get the incentives lined up, design engineering, getting a proposal delivered to a customer, what can we do to compress that cycle and get that deal to fall out the other end.
 Some hard data support our investments in this pipeline is a snapshot looking at first quarter fiscal year 2012 versus fiscal year 2013 again, first quarter. We’ve actually doubled our market segments with the newer technology platform. We're looking at additional markets other than the traditional high bay that Orion has been most known for. So we’re looking at commercial establishments, hospitality -- we’ve already done lighting jobs at some Marriott Hotels as an example. And other hotels. We’ve done some outdoor lighting at banks. So we’re looking at markets that go well beyond our traditional high bay big box warehouses or manufacturing operations. The amount of appointments the call center has set up has risen 550% quarter-over-quarter.
 The dollar amount has gone up as it relates to the different technologies 570% and the proposals generated. The order counts have gone up 460%, individual orders for the technology demonstration. The average technology demo in dollars most of those results and the sales has gone up 19.3% and that is as a result of including more controls, and more bundled systems into our proposals as opposed to what we’ve done traditionally just showing our customer a lighting solution.
 So you can see here, what we’re illustrating is the investments we’ve been talking about last quarter and the quarter before, quarter before that coming now into fruition and you can see the pipeline as it builds up and how it fits into the normal metrics of managing the pipeline and take a look at these dollar amounts and these percentages you can see and begin to feel how we're going to get to the goals that we talked about in our last earnings call.
 And as I alluded to the future markets and segments, that’s something we’re really excited about because it use to be that we're looking for just high bay HID opportunities, now we’re looking at hospitality, the Company itself has a lot of experience in its early days dealing with all the major hotels chains Hyatt, Marriott, Hilton as an example just to name a few, we’ve done a lot of work in the guest rooms years ago with fluorescents, now we're going back and revisiting a lot of the same customers, same relationships and expanding into exterior lighting even looking at some interior lighting as relates to LED recessed cans and an introduction of a full product line in that regard.
 General office, replacing troffers [ph] in offices, retail both normal retail, low ceiling finished ceilings or big box retail. We have solution that we’re working on us for both, and again, largely untapped markets for Orion or the traditional high efficiency lighting players because nobody has come up with solutions in a way to penetrate these markets and we believe we’ve got the product and the strategies developed to penetrate these markets as we’re already starting to do, which are going to help deliver the numbers that we’ve been talking about over the next couple of years.
 So with that, I’m going to turn the call over to Scott to give more specifics on the financial performance. 
Scott Jensen: Thank you, Neal. Consistent with our prior earnings announcements, we’ve provided a fair amount of content within the supplemental information document, which was posted to our website earlier this afternoon covering our first quarter 2013 performance.
 Accordingly, I will not be walking you down the P&L on a line-by-line basis, but I will address some of the key areas in the quarter. As a reminder, our first quarter is seasonally our weakest quarter within the given fiscal year. Contracted revenue for the first quarter was $23.9 million, which included $10.1 million for solar EPC contracts.
 Backlog as of the end of the June quarter was in excess of $50 million at $50.5 million, and we currently expect that $25.4 million of our backlog will be recognized as revenue during the remainder of fiscal 2013. Revenue for the first quarter was $15.3 million, which included $2.7 million from solar projects and $13.6 million from energy management systems sales. Our mix of wholesale business during the quarter excluding the solar revenues was 61.5%.
 Overall gross margin percentage in the quarter was 28.6%. Gross margin on our lighting business was 27.2% for the quarter, and was reduced due to the lower revenues from this segment and the impact of our fixed costs within our manufacturing facility. We expect that these margins will improve in the future on higher volumes. Our gross margin from solar projects for the first quarter was 34.8%, as we maintained the margin improvements that we’ve recognized on projects during the fiscal 2012 fourth quarter.
 Looking at our solar project backlog for orders that we expect to be completed during the remainder of fiscal 2013, we expect gross margins on these projects to be in the 28% to 30% range. Our operating expenses in the first quarter increased from our prior year first quarter by 6.4%. The increase was due to higher one-time expenses in G&A related to the audit and legal expenses from the re-audit of our fiscal 2011 year. This impacted our earnings per share within the quarter by approximately $0.013 per share.
 Our sales and marketing expenses increased due to the impact of the full quarter impact of our sales operations and retail sales initiatives, which were implemented over the course of fiscal 2012. And our R&D expenses increased within the quarter as a result of our continued investment into new product development, specifically as Neal covered our LED and controls offerings.
 We finished the first quarter with a strong liquidity position having $20 million in cash and cash equivalents. There were no borrowings outstanding under our revolving credit facility as of June 30, and we have availability of $13.3 million. We did not borrow against our OTA credit facility, which also has availability of $1.8 million at the end of the first quarter.
 In the first quarter, our cash flow from operations was break-even as a result of solid working capital management. We were able to reduce both accounts receivable and inventories within the quarter. Our DSO continues to improve on the shorter cash cycles for our solar projects. And our inventory declined within the quarter on reductions of fluorescent lamp inventories and solar product shipments. Our primary uses of cash during the quarter were further repurchase of approximately 1.2 million common shares at a cost of approximately $2.09 per share. Our share repurchase authorization had $4.3 million remaining as of the end of the first quarter.
 We intend to continue to execute against this authorization opportunistically. Other uses of cash included approximately $1 million for capital spending related to new product development, facility improvements which included our R&D testing area, training lab and our customer demonstration area. During the quarter, we also repaid approximately $700,000 under existing debt instruments.
 This concludes our prepared remarks. I’d now like to turn the call over the operator for the question-and-answer portion of the call. Operator? 
Operator: [Operator Instructions] Okay and our first question comes from Shawn Severson from JMP Securities. 
Shawn Severson: Neal, I was wondering if you could give a little more color, on the type of push back -- I know we're still looking to the numbers but we know significant revenue short fall and I am just trying to understand the dynamics behind the customer decisions. Are these deferrals or is it harder to get in the door to pitch projects, or are these projects that were kind of in the pipeline that are being pushed up, just trying to understand the scope of it? 
Neal Verfuerth: I think it’s some of each, but even more importantly, as we make this transition Shawn from the older technology to the new, and much of it starts as a discussion about LED, because everybody talking LED  -- even at the consumer level as it relates to our large end users. Now it has -- we have to redo a proposal and get down to regenerating a proposal for the newer technology and to start over. We’re at this inflection point as it relates to our customer messaging. We don't want to have our customers say, "Hey Orion, why didn’t you at least talk about the new technology and you put me into this older fluorescent." So we’re actually going to this clunky transition time. We are saying, "Look, you have these alternatives right now. And we believe this is the best alternative based on what we know today about your facility, how you use your facility et cetera." So we’re revisiting a lot of customers that we’ve got proposals going through the gestation period and retooling them to show them this other alternative so that it doesn’t come back that Orion didn’t do right by them. And I think that along with a lot of customers right now are scrambling to get orders out the door in our core business. These all come into play. We don’t have a situation right now where people are saying "no" or that we’re not going to do this, or just put off in the sometime indefinite future. I think it’s really a matter of a lot of these factors all coming into play and retooling everything we’re doing here to get customers into this new technology. You keep in mind, a lot of these people haven’t changed a lighting system, but maybe once in their career. And now hearing all the buzz about the LED, so they’re saying, okay, so is now LED what we should be doing? Just what is the right solution? So, it’s something that never occurred before in my career that we had this major leap in technology that people had to think about. And that of course is factoring and some people like well okay, now should I be waiting for the next great thing. 
Shawn Severson: In the transition to let’s say in LED proposal versus traditional HID for example, what’s the price difference, I mean are the project coming out of just given higher prices with different returns on them or what’s the color there? 
Neal Verfuerth: The average selling price is considerably higher. It’s not uncommon to see 4x difference between the LED and the fluorescent. However, we have a lot of utility demand side management programs that are underwriting a lot of these costs, and we’re finding we can get aggressive with the controls and our ability to precisely control that light energy, especially in a warehouse application. It allows us to many times use less wattage and again application specific, and because we can pinpoint that light and many times we‘ve even eliminated a fixture -- 1 of the 10 fixtures or something. But it’s a matter as the business gets more complex, it just requires a different sales process and we have been very, very methodical about our entree into LEDs. We knew when that they came, that is going to put hiccup into what we’re doing today, because again everything I just mentioned. But at some point in time, we have to make the decision to go and we decided to go because of not just the market situation, but also where all of the vendors are lining up now. We’re comfortable with all the players that are in that space, availability of components et cetera. Now it’s the time to make this transition and there is really no easy way to ease into it. There is going to be this launching point and that’s what we’re experiencing right now. And having conversations with customers saying, look I just had a large customer in here who's been a good customer for many years. They’ve got 70 facilities, we’ve got 30 more to go and I'm like, guys you want to us do what technology, we have many choices today. We have everything for you. 
Shawn Severson: Out of your book of proposals that you’re working on, how many do you think you’ve already gone back to and shown them a new look with LED versus fluorescent. So just trying to understand how much of the pipeline has been addressed, talked to and given another proposal? 
Neal Verfuerth: I don’t have the exact stats on that right now. I would say a small percentage. What’s interesting is despite all the hype in the LED industry -- or the lighting industry about LED and if you were at the light fair, you'd stumble over LED suppliers and et cetera. I’m amazed really how difficult it is to still get any as high as quantity component, because it still in this stage where things are kind of settling out. So just to go and call and get the 2,000 power supplies -- high-wattages is not that easily done. So, we’ve been making the investments. We are actually putting in the service as a clean room here at Orion for assembly with all anti-static controls -- everything you need to do to make sure you’re handing the semiconductors in a proper way, and we’re putting all these pieces together and now we’re just starting to do some what we call a technology demonstration -- showing customers -- whether they’re comparing us to competitors, to early Orion fixture or whatever -- what all the attributes are, so it’s taken time to get all these things up to speed. 
Shawn Severson: Okay. And then just lastly kind of a qualitative question, going back to deferrals, and push outs related to the economic conditions, certainly IFN has come down, and general concerns versus the technology transition, I mean in the kind of 50-50 situation or is it heavily biased towards the technology versus the economy in terms of the delays? 
Neal Verfuerth: What I can give you the best guess at this point. I would say 50-50, I think people are realizing that the economy has been top-of-mind for so long and of course, that’s something that has to be dealt with, but the reality of it is the order flow -- I’m talking to lot of customers, they can’t keep up with their order volume. And we’re seeing in our ends, you can’t get a lot of components we’ve talked about this on other calls and we’re seeing that across a lot of industries. There the situation is bandwidth and again, that competition for capital. So there’s a lot of different things coming to play and I’d love to tell you that there’s one site that’s not situation, but that’s just not the case. 
Operator: Our next question comes from Philip Shen with Roth Capital. 
Matt Koranda: This is Matt for Phil. Just a couple of questions for you. So we’ve heard about some of the capital budget constraints with your customers and actually seeing a negative dip in commercial and industrial electricity prices over the past few months. Can you guys talk about where you see some strength in end markets with customers? Which customers are giving you the most traction? 
Neal Verfuerth: I think probably the distribution centers whether it’s food, service or it could be really anything in distribution, given the fact that they don’t make anything. They rely on continuous cost reduction from operations to help their bottom line. At the end of the day, no matter what your businesses is, there are really 2 things you can focus on, it’s increasing revenue and reducing costs -- at the highest level to improve your businesses’ operating performance. And the distribution guys, they have to make their business, because they don’t make a product to continue to drill down on our operating cost. So we’ve got customers that we’ve taken out 2-year-old Orion product, moved them into another facility and then put in LED’s because we can construct additional savings, operating savings on per-square-foot basis. 
Matt Koranda: Okay great. You guys have also highlighted some of the substantial investments in your call center and build out the sales force, can you give us a sense for -- I know you give us the year-over-year but can you just break out the appointments from June and July, is that’s possible. 
Neal Verfuerth: Just a second Matt. And is your question year-over-year? 
Matt Koranda: No, just the raw volume is that possible. 
Neal Verfuerth: Likely I’d venture to say that July, because of vacations, is usually a little lighter. A lot of people, especially in the industrial operations, there is a lot companies that still have a shut-down around on the July 4, so that’s always historically a more challenging time get people on the phone and of course you can't get them to make the commitment to the appointment if you can't get them on the phone. Part of the strategy that didn't come through is really increase the sheer number of proposals in the pipeline and the appointments et ceteras. So that is the ultimate hedge to making sure you going to get more of the back end. 
Matt Koranda: Okay, and then a follow-up on that, so do you guys provide a break out between the appointments made for in-house versus your value added resellers. 
Neal Verfuerth: We -- I'll give you an approximation. We believe more recently it's about 30% direct and about 70% of our lease to our wholesale channels. 
Matt Koranda: Okay. And then you did -- you guys shared the metrics on closing ratios, and I was just wondering -- are the closing ratios on proposals made or they on appointments, or what’s the percentage on that? 
Neal Verfuerth: Well, think about this way -- we do a proposal, and we do the technology demonstration -- the average period from the initial visit until we’re seeing it is over 400 days. So you have to fill the pipeline, the deal has to resonate for something 400 days or greater, I think, I’ve been heard a one that was -- I remember talking to this customer literally 5 years ago when we were started to get some traction. Now, they never said no, they didn’t do anything, they’ve been just contemplating -- but after that, then whatever -- 1/3 of that comes out of that is what we’re seeing from a closing ratio, so it’s really gross pipeline, gestation, and then whatever that subset is, about a third of that we get the close. But the thing of it is we don’t get I’ll bet you less than 5%, we get no’s. It's we lose the deal to a -- we certainly lose deals -- but more often or not, with the competition people aren't doing anything, they're just deferring the decision. 
Operator: I’m showing no further questions. I’d like to now turn the conference back over to Scott Jensen for closing remarks. 
Scott Jensen: Thank you, operator. Thank you everyone for joining us we look forward to joining you again later this year for our fiscal 2013 second quarter earnings call. Good day. 
Operator: Ladies and gentlemen, this now concludes your conference. You may disconnect.